Thierry Garnier: Thank you, and good morning, everyone. Thank you for joining us today. I'm Thierry Garnier, CEO of Kingfisher, and I'm joined by our CFO, Bernard Bot. I hope everyone is staying healthy during these difficult times and hopefully, won't be long before we are able to meet in person again. Before I start, on behalf of our group executive and Board, I would like to express my sincere thanks to all our teams for their incredible efforts in the most testing of circumstances. We are extremely proud to be part of that team and inspired by their commitment every day. Our agenda for today will start with an update on our operations and strategic progress, Bernard will then present our financial performance and outlook before we open the meeting for Q&A. On Slide 5, I would like to set out the key messages. The home improvement markets we operate in are attractive and resilient and have supportive new longer-term drivers. Current market trends, some of which have been brought forward by the COVID crisis, offer us opportunities. And we are emerging from the COVID crisis stronger with a clear improvement in our competitive position along with strong new customer growth and a step change in digital adoption. We have made good progress fixing issues from previous years, although there is still work to do. And our new strategy is delivering. Our distinct retail banners has now empowered and much more agile, supported by Kingfisher's scale, strength and expertise. And finally, we have set out clear financial priorities for the group, supported by a set of key drivers. On Slide 6, I'm pleased to report strong financial progress for the period, with like-for-like sales up 7.1% and profit before tax and free cash flow strongly higher. Our competitive positioning is clearly improving in all key markets, with market share growth at B&Q, Screwfix and Castorama France. We have strong current trading momentum, with Q1 like-for-like to debt up 24.2%, supported by continued e-commerce sales growth of over 150%. Finally, I would like to confirm we are resuming dividend payments with a proposed total dividend per share of 8.25p, and we are establishing a progressive and sustainable dividend policy. I'll come back to this later. Turning to Slide 7, with a total addressable spend of GBP 130 billion, the home improvement markets in which we operate are attractive, growing and have many structural drivers supporting long-term growth. It is a relatively high-margin industry, resilient against e-commerce pure-play competitors and has proven robust through previous economic downturns. The key point on this slide, however, is that over the course of the COVID crisis, we have seen the development of new longer-term trends that are clearly supportive of our industry. During lockdown, our homes have effectively been transforming to hubs, where we work, exercise, entertain and rest. Longer term, we believe that more working from home is here to stay. There is no doubt that the trend of flexible working arrangements has accelerated forward many years. Over time, these factors will lead to material changes such as more wear and tear on the home and the need to organize living space differently, thereby creating a structurally supportive shift for home improvement. One of the most interesting things we have seen in the last year is also the emergence of new cohorts of young DIY'ers, with a big increase in motivation, new skills and enthusiasm for DIY. Recent surveys we undertook across our market highlight that 18- to 34-year-olds have done more home improvement than any other age group, with 20% doing DIY for the first time, 55% doing more than they have previously done and 65% more confident to take on home improvement and learn new DIY skills. All of this is very encouraging for the future of our industry. Moving on to Slide 8. We can see some of the wider market trends which our strategy seeks to address. The COVID crisis has led to a surge in e-commerce. The acceleration of our capabilities in this area, heavily leveraging our stores, has facilitated significant online growth across our retail banners. Smaller and more localized store formats are also becoming vital to serving the increased customer demand for speed and convenience. While Screwfix is already addressing this shift, there is a huge opportunity for our other banners to widen their reach. Across Europe, discounter format stores have been growing in line with the rising focus on value for money. Our own exclusive brands, our OEB products, now 44% of group sales enabled us to capture this trend. In addition, we are well placed in this area of the market with our Brico Dépôt discounter banners as well as our overall focus on attractive price position. The COVID crisis has seen a pause of the trend towards Do It For Me due to social distancing and also engagement with DIY as a cheaper and popular activity.  We expect the Do It For Me shift to remain gradual over the medium term, and we are well positioned to benefit with Screwfix, TradePoint and Brico Dépôt. And our acquisition in November 2020 of NeedHelp, one of Europe's leading services marketplaces. And being a responsible business is a priority for Kingfisher and during COVID has become more important than ever before. Customers are increasingly aware of what companies do for their colleagues and of the environmental impact of their purchasing choices. Turning to Slide 9. Let me briefly remind you of our Powered by Kingfisher strategic direction. First, our retail banners are not the same, and this is a strength. We see differentiation as an advantage more than ever in a world that is volatile and uncertain. We have a clear vision for our customer proposition based on e-commerce, we stored at the center, a mobile-first experience in a compelling services offer. We will power our banners through Kingfisher scale, resources and expertise, enabling them to serve their customers better and will become simpler and leaner, doing less, lending it faster and reducing our cost and inventory. Across the bottom of the slide, you will also see the key strength, which underpin our strategy. Slide 10 outlines the reasons we believe we are emerging from the pandemic, a stronger business. And this is thanks to the extraordinary work of our teams during these challenging times and the way in which we have embraced our new strategy and the agility we have shown in managing the crisis. The rollout of our plans is fully on track. The crisis has pushed us to be bolder and several elements of our strategy are ahead of schedule. We believe we have seen at least 2 years' worth of acceleration in e-commerce, supported by our stores and rapid changes to our operating model. We have met an extraordinary surge in demand with group e-commerce sales of nearly GBP 2.3 billion, up 158% in 2020 and now 18% of our sales.  Throughout the crisis, we have remained committed to doing the right thing by our colleagues, customers and communities. We have done this by enhancing our safe operating standards, ring-fencing and donating PPE, supporting our colleagues and rewarding frontline staff and developing our plans to help tackle climate change and deforestation. We also made significant repayments of government support, this includes forgoing U.K. Irish furlough and business rates relief worth GBP 150 million and repaying in full government supported debt in the U.K. and France was over GBP 1.1 billion.  Our customer Net Promoter Scores show a sharp increase in the awareness and reputation of our banners. And along with reconnection with DIY, I mentioned earlier, we also saw a step change in digital adoption across our banners, with 10 million new customers shopping with us online. The crisis has also underlined the longer-term opportunity to manage our costs and inventory with greater efficiency. We took multiple actions in 2020 and believe we can be even bolder in this area. All this is reinforced by a stronger balance sheet supported by disciplined cash management.  Our net leverage is 0.9x EBITDA, and we have access to over GBP 2.2 billion in total liquidity. Turning to Slide 11. While we continue to leverage some of the strengths developed by Kingfisher in past years, such as group sourcing and buying, OEB and a common SAP platform, we enter into 2020 faced with many issues from previous years. You can see the significant progress we have made so far. We have rebuilt our teams, rebalanced our commercial operating model, reduced time and resources on noncritical activities and empowered our banners to adopt new trading approaches. These actions have had a very positive impact on our business. We have also said in the past about implementation of our new plan and helped us to respond to the challenges of the crisis. Looking at France, we have made great strides forward in repairing our business there. From new leadership and operational teams, addressing all the pain points of Casto SAP implementation, underlying improvements to the French supply chain and the benefits from many other initiatives noted here. We have also reignited Brico credentials as one of the most powerful discounter brands in European home improvement. The proof is in our like-for-like growth, and even more importantly, our performance relative to market. Castorama, which chairs for the first time in several years. However, there is still work to do in France, in particular, around our range rebuild at both banners and as well as further efficiencies with our supply chain. Let me now turn to Slide 12 and our actions to drive share growth in our key markets. Our distinct banners address diverse customer needs and this is the strength. All our banners have a clear positioning and plan. Conscious of time in the following slides, we will take a closer look at B&Q, Screwfix and Castorama France. The role of Kingfisher Group is to support our banners to serve their customers better. These are the key group powers on the right-hand side of the page. Starting with B&Q and TradePoint on Slide 13. The team did an excellent job managing unprecedented levels of demand in 2020, while moving all their key priorities forward at pace. E-commerce sales grew by 117% and penetration doubled to 10%. This was supported by rapid changes to its operations and a focus on speaking for our stores for click and collect.  We successfully launched next-day delivery from store and have started several innovative trials for last-mile delivery. The group next-gen digital stack was fully implemented without disruption and now supporting enhanced mobile and web capabilities. Our new AB ranges are performing very well, and B&Q kitchen proposition is back supported with design and installation in B&Q stores and is gaining market share in the U.K. Our pricing has remained very competitive, indexing clearly below competitors. And we also benefited from the introduction of targeted and localized trading events. B&Q has seen the material rise in its online customer base and is enhancing its mobile-first and service capabilities. The business is testing to checkout Scan & Go and tool hire concessions at TradePoint through Speedy Hire. B&Q also continues to test new compact store concepts as well as concessions in 2 ASDA stores and we opened 2 medium box stores. These strategic initiatives and the outstanding execution by the B&Q team resulted in a like-for-like growth of 13%, market share gains, strong new customer growth and a significant improvement in-store customer NPS.  On Slide 14 we have outlined B&Q key areas of focus for this year. Firstly, we'll continue rebuilding inventory and availability ahead of peak trading periods. We are already well placed in this regard. We will also build on the progress we have made in e-commerce with more ranges available for online orders and faster delivery options. Ranges will be strengthened further with more choice through brands and through OEB. And we are excited to launch NeedHelp in B&Q, which will cover all services, excluding kitchen and bathroom installations for the time being. We are also relaunching our TradePoint banner, which grew sales by over 10% last year and is nearly 20% of B&Q sales. Following some early successes this year, we will look to open more compact stores and extend our rightsizing tests. Turning to Slide 15. Screwfix has been a phenomenal growth story, with a sales CAGR of 14% over 5 years, 1 store opened per week on average over the same period and an exceptionally high return on capital employed. In 2020, Screwfix exceeded GBP 2 million of total sales -- GBP 2 billion of total sales with like-for-like sales growth of 6.6%.  The business has also seen a step change in new customer acquisition with net customer growth of 16% and online customer numbers up 146%. 11 million customers shopped with us in 2020, 1 in 5 in the U.K. adult population. The team adjusted its operating model overnight during the first lockdown shifting to nearly 100% online. And mobile is now the biggest channel in the business, accounting for 62% of online transaction. Pricing continues to be competitive, and we are indexing below our closest peer. Finally, our expansion plans remain on track with 38 new stores in the U.K. Republic of Ireland in 2020. As part of this, we are trialing an innovative new compact format in central London. To Slide 16 and Screwfix is ready for the next stage of its growth.  Following the identification of further opportunities in catchment areas, we now see a road map to over 900 stores in the U.K. and Ireland versus our previous target of 800 in just the U.K. Moreover, we are now planning to enter new international markets, starting in the first half of this year with online-first expansion. In parallel, we are constantly working to improve the business model with digital resources. This means investment in additional fulfillment capacity to support our growth, upgrades to our IT platform to further enhance the customer proposition and a new mobile app, featuring convenient mobile-first collection and last-mile delivery options. Building on 2020 will continue strengthening ranges with OEB tailored for the professionals, together with targeted investment in price. Moving now to Casto France on Slide 17. I'm happy to report that our repair, modernize and extend approach is making significant progress, stopping several years of market share decline in 2020. And so far, in 2021, the business has continued to grow faster than the market. Starting with repair, we addressed 18 key pain points related to our SAP rollout, which contributed to improved operational performance. The business acquired a significant number of new customers with associated repairs to brand brant equity as evidenced by a substantial improvement in both store and website customer NPS. The team has been rebuilding ranges, both brands and OEB with 5,000 new SKU introduced. In terms of modernizing, the group next-gen digital stack has been fully implemented, allowing us to enhance click & collect and delivery from store services. We launched a new website with visual search functionality and a new mobile app while strengthening our partnership with NeedHelp.  While Casto is making strong progress on the top line and market share here on Slide 18, I would like to highlight 2 areas of focus for 2021. Firstly, optimizing our supply chain. We are now in the process of reducing our warehouse footprint and reducing distance to store through the consolidation of the supply network of our 2 banners. We believe this will provide benefits to our customers and longer-term efficiency savings. Second, the range, we made very good progress in 2020. However, more needs to be done to broaden choice within ranges to alter our customer needs. I believe we are still 12 to 18 months away from repairing Casto's assortment. The same can be said for Brico Dépôt discounter model where we are trimming the number of ranges available to drive volume in key ranges and in turn, offer even better prices. Overall, excellent progress and still work to do. Moving on to Slide 19 and the progress we have made in reinforcing the group powers, starting with e-commerce. Here, we believe our e-commerce progress has accelerated by at least 2 years. Moreover, the digital customer adoption we have seen makes us even more confident in the growth opportunities that lie ahead. Back in mid-2019, online sales penetration was 7% and we had limited capacity of 40,000 click & collect fix per week across B&Q and Casto France. Store to home delivery was more or less nonexistent. This has been completely transformed over the course of 2020 with penetration now at 18%. Group e-commerce sales grew by 158% and by 144%, excluding Screwfix. Click & collect sales has become the largest and fastest-growing fulfillment channel at group level with 226% growth. Supported by our newly implemented group digital stack, our platform has scaled rapidly, and is now supporting 500,000 click and collect orders per week across B&Q and Casto France. Stores now sit firmly at the center of our e-commerce proposition, providing support for a very significant proportion of retail online orders. We have now rolled out digitally enabled picking for all fulfillment foods for B&Q and Casto France, and introduce a digital hub model at B&Q, where 56 stores service the vast majority of our home delivery orders. We expanded our last-mile delivery options. Our partnership with DPD has enabled next-day delivery by B&Q, with 98% of the U.K. population. B&Q, Casto France and Poland are trialing click & collect lockers, and we have implemented drive-thru and car park collections in France. Looking ahead, we remain committed to delivering strong growth in e-commerce sales through providing speed, convenience and choice to our customers. Our key focus this year will be implementing a new IT and digital operating model to increase our agility and lower costs. Overall, we are moving towards home delivery for full storages with faster last-mile options. In Poland, we are rolling out the new group digital stack enabling stronger digital capabilities. In Casto France, we are implementing the same digital hub model used at B&Q. And finally, we are continuing to explore the merits building a marketplace model, which could further support our e-commerce ambitions. Turning to Slide 20. Kingfisher's OEB product sales are now GBP 5.3 billion, up 7.5% last year and represents 44% of our total sales. OEB provides a strong point of differentiation for our retail banners. And here, I mean, affordability, functionality and innovation and sustainability as well as supporting our gross margin. In 2020, we saw a strong increase in the awareness of our brands and our 5 leading OEB brands alone contributed around 1/4 of our total group sales. The rollout of Kingfisher's new OEB kitchen range completed in B&Q in H1 2020 and will complete in France and Poland this month.  Thus growth of B&Q kitchen in H2 2020 was at strong double digits, and this was despite the closure of some store showrooms from early 2021 due to lockdown restrictions. Looking ahead, the move to our new commercial operating model is driving focus on innovative OEB product development on sourcing and engineering as well as enabling faster speed to market. We plan to extend our ranges and tailor them to the specificities of our different banners customers. We are making great progress with OEB, powerful enabler of profitable sales growth. Now on to mobile, which is at the center of our customers' home improvement journey. Mobile is our fastest-growing order channel, up by over 200% last year, now accounting for 56% of our online orders. We made good progress during the year in optimizing the user experience. We have already heard about the new app and website at Casto France, both B&Q and Brico Dépôt Iberia also trialing mobile Scan & Go technology for customers, enabling a speedier store checkout process. We continue to test and launch new service propositions across our banners. B&Q has restarted kitchen and bathroom installations now in all U.K. mainland stores, and the early takeup is encouraging. B&Q established a virtual sales model during the year for kitchen and bathroom, with thousands of sessions conducted in January. Our new 3D tool for kitchen and bathroom design is currently being trialed in some of our retail banners. With our new OEB range, strong price positioning and all these new services we feel good about our prospects in the kitchens market. We're trialing a comprehensive tool hire service in partnership with Speedy Hire. To date, we have opened 14 Speedy concessions with the TradePoint. We are also in the process of trialing new self-check out terminals at B&Q. Lastly, we are excited about our acquisition of NeedHelp. Business is growing fast and targeting expansion in the U.K. and in Poland in 2021, supported by our retail banners. Moving to Slide 22, our 1,400 stores play a central role in our industry, providing our customers with inspiration, visualization, expertise, projects and customized services. They also play a crucial role in meeting the customer demand for convenience and speed. This customer needs drive both the shift online and the need for smaller stores.  Over the next few years, we plan to increase our overall store count, while in parallel reducing their average size. We will achieve this by a combination of opening more complex stores, rebalancing towards medium box stores and rightsizing some of our larger format big box stores. On this slide, you will see all the tests we have completed in 2020, including compact stores at B&Q and Casto France, store-in-store concessions within ASDA and 1 new Screwfix compact format. Early results look encouraging. With regards to rightsizing, we have selected a small number of big box stores to be tested for rightsizing at B&Q and Casto France this year, with the possibility of widening this over the longer term. B&Q Canterbury is the first of this test, which completed this month. Around 30% of space in Canterbury has been taken over by Aldi, and we expect to save 33% of store cost. Disruption to sales has been low. We also believe in partnerships, and I have mentioned Speedy Hire and ASDA. Earlier this month, we also signed a franchise agreement with the Al-Futtaim Group to expand B&Q into the Middle East with the first step with the opening of 2 B&Q franchise stores in Saudi Arabia later of this year. We are excited by the potential of all these tests. On to Slide 23. Our commitment is leading our industry in responsible business practices. As you have heard, this commitment has been at the forefront of our response throughout the COVID crisis. And during the year, we set out 4 priority areas in this field. Firstly, colleagues. Earlier, I went through our actions through the crisis to do the right thing by our colleagues during these extraordinary times. We were also proud to launch our 1 plus 1 all colleagues share plan, with over 9,000 colleagues electing to participate, 75% of whom are from our stores. Next, our planet.  We are making very good progress in reducing greenhouse gas emissions. As a result, we have reviewed our plans and agreed new targets with appropriate capital investment to move to a science-based target that is consistent with a 1.5-degree trajectory. We have made our updated submission to SBTi and are awaiting their approval. If and when approved, we understand this will put Kingfisher among only 2% of retailers worldwide to have approved 1.5-degree science based target. In addition, as part of our commitment to be forest positive by 2025, we have partnered with a Rainforest Alliance and become a founding member of its Forest Allies initiative.  With customers, we continue to help make greener, healthier homes affordable. Last year, approximately 40% of our total group sales came from sustainable products, including new examples like LED lighting and low-flow taps. And with our commitment to communities, last year as part of our response to the pandemic, we dedicated more time and resources for our local communities and health care authorities. We made over GBP 5.5 million of community investments, on top of which, our colleagues and customers raised GBP 2.7 million. We also launched a network of charitable foundations to support the fight against bad housing. We have supported nearly 800,000 people since 2016. We are involved with some fantastic initiatives in responsible business, which are crucial components of our strategy. We have made significant progress with our Powered by Kingfisher plan. On Slide 24, I would now like to set out our financial priorities. We will prioritize top line growth and gross sales ahead of the market. We aim to grow adjusted PBT in line with sales growth, as we'll reinvest scale benefits and cost savings to drive the top line. As this materializes, we will aim to grow PBT gradually faster than sales over time. We will generate strong free cash flow through greater capital efficiency and financial discipline. This will underpin shareholder returns through our new progressive dividend policy announced today, which has a target cover of 2.25 to 2.75x and is effective from this year. We are committed to maintaining an efficient capital structure, while keeping a prudent position at this time of uncertainty.  While the progress we make may not be linear, our mindset is firmly on market share and top line growth, on profit growth and cash generation. Finally, to Slide 25, let me summarize the key drivers of the delivery of our financial priorities. E-commerce sales growth and sales penetration, OEB sales growth, new compact stores across our markets, big-box rightsizing at B&Q and Casto France, cost and same-store inventory reduction and our progress in responsible business. We will report our progress on these drivers going forward. With my update now concluded, let me hand over to Bernard.
Bernard Bot: Thank you, Thierry, and good morning, everyone. Starting with Slide 27 and the key financials. The group performed strongly last year. Total sales were up 6.8% to over GBP 12.3 billion, with like-for-like sales up 7.1%. We generated gross profit of GBP 4.6 billion, up 6.9%, driven by sales growth and a flat gross margin of 37. 1%. Retail profit increased by 27.4% to just over GBP 1 billion, with the retail profit margin increasing by 130 basis points to 8.1%. Adjusted pretax profit increased by 44.4% to GBP 786 million. This number includes nonrecurring net cost savings related to the COVID pandemic of GBP 85 million in the year. Excluding this, the increase was around 29%. Statutory pretax profit increased to GBP 756 million, reflecting strong operating growth and significantly lower pretax exceptional adjusting items of GBP 30 million. Statutory post-tax profit was GBP 592 million. Free cash flow, in part supported by temporary working capital movement, was GBP 938 million. Our strong cash position reduced net debt to GBP 1.4 billion with net leverage at 0.9x EBITDA. Turning to Slide 28 and the performance of our major geographies. Starting with the U.K. and Ireland, like-for-like sales increased by 10.7%, driven by strong trading from Q2 onwards. The net total of 41 new stores were opened, contributing a further 1.6% of sales. Like-for-like sales at B&Q grew by 13%, reflecting core DIY demand and a strong performance from TradePoint. Showroom categories remained broadly stable despite long periods of physical showroom closures and grew at strong double-digit in H2. Like-for-like sales at Screwfix grew by 6.6%. Growth accelerated through the year, with Q4 up 14.7%. U.K. and Ireland's retail profit increased by 36.3% to GBP 681 million.  Retail profit margin increased 210 basis points to 11.9%, with U.K. gross margin up 80 basis points and a better operating cost to sales ratio. In France, like-for-like sales increased by 5.1%, reflecting strong trading from Q2 onwards and a significantly strengthened competitive position of both banners. Total sales only grew 3.2% because of lost sales from the closure of 8 Castorama stores. Gross margin rate decreased by 120 basis points, mainly reflecting more trading events at both banners, more special promotions, or arrivage, and higher supply and logistics costs from COVID and from external disruptions at the start of 2020. Retail profit increased by 7.9% to GBP 181 million, with a 20 basis points increase in the retail profit margin, supported by lower operating cost to sales ratio. Poland, which kept its stores open throughout the period, saw stronger demand from Q2 onwards, following COVID-related lower footfall in Q1.  Like-for-like sales grew 4.9% and total sales grew 8%, reflecting through new store openings. Gross margin rate decreased 60 basis points, reflecting changes in mix, price positioning and higher distribution costs. Retail profit in Poland declined slightly to GBP 146 million, with higher gross profit unable to make up a 9.4% increase in operating cost. This was driven by space growth, wage and general inflation, incremental COVID-related costs and additional frontline staff bonuses. Iberia's like-for-like sales were down 7%.  The banner was more severely impacted by COVID restriction in H1. However, H2 like-for-like sales recovered strongly at plus 10.8%. Despite weaker sales, the business grew its retail profit to GBP 3 million. Romania reduced its retail loss by circa 40% to GBP 14 million, driven by higher demand across all product categories and the full year benefit from the rebranding of former Praktiker stores to Brico Dépôt. Moving to Slide 29 and the movement in group retail profit. In constant currency, this was up GBP 216 million or 27.4%. The gross profit increase of GBP 297 million was largely driven by the 7. 1% increase in like-for-like, which added GBP 317 million. Net space growth contributed a further GBP 17 million with the contribution of new Screwfix and Poland stores, somewhat offset by the closure of 8 Castorama front stores. COVID-related supply and logistics costs, mainly in France, and the contribution of Russia were both negative.  On to operating costs. We managed to contain inflation-related cost increases to GBP 48 million or 1.4% year-on-year. Cost related to net space growth in the year were GBP 8 million. Excluding inflation and space items, operating costs increased by GBP 25 million or 0.7% year-on-year against a 7.1% increase in like-for-like sales. Included in this are higher variable costs associated with higher sales levels, staff cost increases from headcount and frontline staff bonuses and incremental COVID-related costs.  This was mostly offset by cost reductions achieved in the year, some of which, as I mentioned earlier, were nonrecurring benefits due to the COVID crisis. In terms of more sustainable cost reductions, I will talk to this shortly. Let me now take you through the pretax exceptional adjusting items for the year of GBP 30 million. We recognized asset impairments and exit costs of GBP 27 million related to the disposal of Russia in September. The disposal also resulted in an additional noncash charge of GBP 49 million largely due to the transfer of cumulative foreign exchange losses from reserves. Upward revisions to store performance projections resulted in a reversal of impairments of GBP 42 million. A profit of GBP 13 million was recorded on the disposal of a property in U.K.  And finally, other exceptional items contain a restructuring charge of GBP 16 million related to our commercial operating model partially offset by the release of a warranty's liability held in relation to the B&Q China disposal in 2014. After these exceptional adjusting items, our statutory pretax profit was GBP 756 million. Slide 31 highlights a year of very strong cash generation for the group. We generated EBITDA of GBP 1.5 billion in the year. The working capital inflow of GBP 376 million reflects an GBP 86 million decrease in inventory and a net GBP 290 million increase in payables. The inventory reduction was due to the strong levels of demand seen in H2, alongside more focused inventory management initiatives. The increase in payables was largely driven by timing of stock purchases and higher payroll and VAT creditors also associated with stronger sales. The payables position is expected to reverse during the course of this year. After rental payments, tax, interest and gross CapEx, free cash flow for the year was GBP 938 million, up by GBP 747 million. The net cash movement after exceptionals and other was GBP 942 million. Now moving to Slide 32 and our current liquidity and financial position. As of 18 March, we had over GBP 2.2 billion of total liquidity available, including over GBP 1.4 billion of cash and GBP 775 million of undrawn RCF facilities. This is after redeeming GBP 600 million issued under the CCFF program in H1 and repaying our EUR 600 million French term facility in December 2020. Our financial debt, which excludes GBP 2.4 billion of lease liabilities was GBP 109 million as of 31st January. Finally, to net leverage. Over the medium term, we are targeting circa 2x net debt to EBITDA, which we have lowered from our previous target of 2 to 2.5x. This is in line with adjusted rating agency credit metrics and supports our target of solid investment-grade credit rating. As a result of our strong cash position, net leverage strengthened by over 1 turn to 0.9x EBITDA. Through 2021, we expect this to move up as some of our working capital positions unwind, but generally, we expect it to remain lower than 2x in the short term. This provides us with the liquidity headroom we required during this period of heightened uncertainty. Overall, we are in a very sound financial footing. Switching gears for a moment on Slide 33, let me highlight the plans to drive cost and same-store inventory reduction which are well underway and show encouraging early results. We believe there are significant opportunities across Kingfisher to reduce cost by being simpler and more efficient. During the year, we launched programs in key areas, which are being managed jointly by our banners and group functions. These included reorganizing our commercial operating model, testing and deploying store productivity initiatives, great automation and launching various IT and GNFR procurement initiatives. We also continue to regear our leases as appropriate, renegotiating 9 B&Q leases in the year for an average rental reduction of 25%. Overall, in a volatile year, we achieved a 30 basis points reduction in our group operating cost to sales ratio on a constant currency basis. In sourcing and buying, we continue to deliver cost price efficiencies by leveraging our scale, in particularly in our OEB product base. We are also renewing strategic partnerships with our top 20 to 30 international brands, which will drive further benefits. And we achieved lower levels of clearance in the year through our focused approach to ranging. All these contribute to a stable gross margin. Overall, the net savings of our ongoing cost reduction programs are expected to partially offset the cost of inflation, expansion and space changes as well as the investment requirements of our business over the next few years. Finally, while stock availability has been strained from the COVID crisis and volatile demand levels, we have seen a general improvement in our inventory health, mainly due to a reduction in range review activity and lower delisted stock. Despite the challenging environment, we implemented various inventory reduction initiatives during the year, contributing towards a GBP 50 million reduction of same-store net inventory and a 10% improvement in average net inventory day.  What our immediate focus is to rebuild stock levels ahead of peak trading periods in 2021, our work to sustainably reduce same-store inventories continues. This includes work to remove and redeploy slow-moving inventory together with more robust planning and forecasting. To Slide 34 and a brief reminder of the evolution of group like-for-like and e-commerce growth last year. Trading in the first quarter started positively, reflecting early benefits from our focus on fixed actions. From mid-March 2020, we were significantly impacted by the lockdown measures in the U.K. and France, resulting in our decision to voluntarily close in-store browsing and purchasing for several weeks.  This allowed us to protect colleagues and customers while we establish safe operating protocols. In Q2 2020, group like-for-like trends improved significantly following the phase reopening of stores in the U.K. and France. Sales growth, both in-store and online, remained strong for the remainder of the year as we delivered on many elements of our strategy to satisfy demand levels. The momentum has continued into the new financial year with like-for-like sales for Q1 to date, up 24.2%. We are, however, mindful of the continued uncertainty related to COVID in Continental Europe. We have some stores temporarily closed in France due to regional confinement measures, and a new national lockdown has been announced in Poland, albeit all our stores they remain open. Thus far, this has not had a significant impact on trading in either country. Finally, moving to Slide 35, where we'll go over our outlook and guidance for the full year '21/'22. Further technical guidance can be found in the appendix on Slide 42. Recognizing that these are highly unusual and uncertain times. On a one-off basis, we would like to provide more specific guidance where we can to help frame expectations for the year ahead. This all assumes there is no adverse change in COVID-related confinement measures, for example, any new lockdown restrictions which may result in further store closures. Given the profile of our trading during full year 2021, we expect distinct performances in the 2 halves of the year. In H1 '21/'22, we expect low double-digit like-for-like sales growth supported by the continued delivery of our strategic objectives. For H2 '21/'22, our planning scenario show a wider range of outcomes, with like-for-like sales decline by between minus 15% to minus 5%, given the strong performance in the comparable prior year period and the uncertainty of the macroeconomic and consumer environment. On a 2-year basis, these planning scenarios represent H2 like-for-likes of minus 1% to plus 11%. In line with our financial priorities, we are targeting to grow rebased adjusted PBT in line with total sales on a constant currency basis. For the purpose of this guidance, rebase means removing GBP 85 million of nonrecurring net cost savings from full year 2021 profit, as you can see on this slide. With our strategic progress, we are well positioned to capitalize on the positive long-term trends in our industry and are confident of the continued outperformance of our wider markets. With that, let me now hand back to Thierry to summarize.
Thierry Garnier: Thanks, Bernard. To now briefly summarize here on Slide 37. We operate in attractive markets and see supportive new longer-term drivers for our industry. This creates additional opportunities for us. The COVID crisis as pushes us to move faster and to be bolder, and we are a stronger business as a result. Our competitive position has clearly improved, and we have seen strong new customer growth and a step change in digital adoption. While there is still more to do, there has been significant progress in addressing historic issues. Our new strategy is delivering with our distinct retail banners now empowered and much more agile, supported by the scale, strength and expertise of the Kingfisher Group. And lastly, we have set out our financial priorities that will deliver attractive shareholder returns. Thank you for your time. I would now like to invite any questions. Over to you, operator.
Operator: [Operator Instructions] We'll take our first question from Richard Chamberlain of RBC.
Richard Chamberlain: Three questions from me, please, to kick things off. First of all, can you maybe touch on any sort of recent survey work that you've done that's giving you any sort of indications about consumers' intentions to carry on spending on DIY in major markets?  That's the first one. The second one is on the sort of new international plans of Screwfix. I wonder if you can just touch on how that will be different from what we've seen in the past, for instance, in Germany? And then the third one is, maybe you can just flesh out a little bit more on the relaunch of TradePoint. Maybe give a little bit more color in terms of what you're doing in terms of ranging that business differently?
Thierry Garnier: Yes. Thank you, Richard. Thank you for your question. I would say, firstly, indeed, the customer surveys are very important and very interesting for us. We run a comprehensive 2 set of survey, 1 last year, September-October, and we did it again earlier this year in February. I think the first thing I mentioned in my introduction, and I would like to refer again is what is most interesting thing is we see a new generation of DIY'er, a cluster of 18 to 34 years old, saying -- for 20% of them, they did DIY for the first time. And on top of the 20%, 55% of them did more DIY in 2020 than in the past. And for a very significant proportion explaining they are learning new skills and enjoying it. In our surveys, asking on 2021, overall we have as well a much higher proportion of people saying they will do more home improvement in 2021 than in 2020 and still back in February. So that's for the first question. I would say on Screwfix, you know we discussed that on previous calls. We have clearly 2 directions. First, learning from Germany, as you referred to, and Ireland. We considered we should start online first before opening stores. And on the other side, we will look at countries we know already. We learned from Germany on -- as well the supplier relationship. We had limited teams, capabilities. We did not build supplier relationship before already entering this country. Therefore, we consider starting in country we know well when we have teams, when we have existing supplier relationships, sometimes where we have supply -- existing supply chain will be more appropriate candidates. So that would be the 2 directions starting with online first before opening stores; and two, to look at countries where we have a strong supplier relationship already there. Now on TradePoint, I think TradePoint is very important for us. And let me say as well that TradePoint are -- is addressing very different customers than Screwfix. Screwfix is really targeting electrician, plumbers rather targeting smaller parcels. While TradePoint is more on timber, building material, paint and even kitchen. So we have seen a very good year in 2020, and key actions are on range -- ranging. And we are rebuilding additional ranging at trade points. We are recruiting. And the past months, we saw very strong recruitment activities through our loyalty card programs. We rebuilt the team in the past months, and we are now already fully ready to relaunch this business. We have new plan on our loyalty program because loyalty programs are very critical in -- for trade. So we have now a good team and a clear plan in place.
Operator: We will now take our next question from Simon Irwin of Crédit Suisse.
Simon Irwin: And congratulations on the numbers. Can you -- a couple of questions for you. Firstly, can you just give us a sense about how you see the margin opportunity in France and what those levers will be in the medium term? And the second is, can you give us a bit of a sense of the kind of components of demand as you saw them last year in terms of your kind of small basket retail customers and project-related and trade-related and how the 3 kind of interact and what your thoughts are around those 3 groups going forward?
Thierry Garnier: Yes. Thank you, Simon. Maybe a few words about the action we are doing in France. We said several times that probably France was the country and the banners that was the most disrupted and impacted by the ONE Kingfisher strategy around range that have been significantly reduced at Casto, new IT, new supply chain, overall a strong demotivation of the 2 teams that were convinced that Casto and Brico are probably no long-term future versus other banners. So I think we really did good progress in 2020. And I refer to some acceleration probably in France, we have made some acceleration versus our initial plan. We have very strong team. We rebuilt 2 small management boards for Casto and Brico. We have recruited on our supply chain significant new experts, and we are in a good place now. You know that at group level, we have decided to rebalance our group banner operating model. And happy to say that in March, we totally completed across the group this new commercial operating model, including in France, and it helped a lot France in the past months. We have decided to stop noncritical IT projects to focus on SAP for Casto. It has been fully implemented. We have implemented a new e-commerce group digital stack into Castorama with very good feedback on the customer NPS. We have made, I mentioned that a few minutes ago, a lot of innovation, on e-commerce, store picking, click & collect, drive thru, home delivery on the range. And sincerely, I'm relatively happy with what we've done in 2020 because we went fast. So I think we really did a big improvement in repairing the range. As I mentioned, probably we need 12 to 18 more months to be fully happy with the range we have at Casto and at Brico. And therefore, we saw strong growth in like-for-like, we saw market share gains at Castorama, recruitment of customer NPS. So all that very positive. So then answering your question. For me, looking at France, I would set up the same priorities on top line and time line. The first is top line growth. In retail, I strongly believe that to create value, you need to make sure the top line is there and that you have a strong speed and you grow market share. That's the first priority in France to make sure we are at the right speed and gaining consistently market share. Then over time, we will grow our margin when we are confident that the top line growth is where we want to be. But I confirm that we are optimistic on the profit margin in France, and that we'll be able to rebuild a stronger profit margin over time. On the -- your other question on project, trade and DIY'er, I would say we have been still impacted by the lockdown. So meaning, you have people that are afraid to have treat people inside their home. So the Do It For Me part of the business has still be impacted, especially during H1, and that's Screwfix. So a bit less trade trends. And clearly, the boom and the largest trend is around new DIY'er. I would say, beginner of the DIY'er, people that do painting, decoration, flooring, but not necessarily very large projects. And because of the showrooms have been closed in the past week in the U.K. as well, the big projects are still growing, but a bit more impacted that easier project. So clearly, what we saw in the past months is the demand around new DIY, starting new projects with a slightly more constraint on Do It For Me and on the large project. Even though just to mention large project, we -- B&Q and the French team, they have been very innovative and fast, we have built much stronger virtual appointment, virtual design capabilities. And we are saving many, many kitchen and bathroom online now, which is good news for the future.
Operator: We'll take our next question from Warwick Okines of Exane BNP Paribas.
Warwick Okines: I was -- I had 2 separate questions. The first is on the store carve up or the store reduction size in the U.K. that you've done so far. Could you just give us a sense of what you're expecting sales to do when you take 30% out of the floor space, just give us a sense of overall revenue impact you're modeling through, please? That would be useful. And secondly, on Brico Dépôt, you've talked for some time now about it being a powerful discount format that perhaps lost its way a little bit. You mentioned in the -- in your presentation tuning the ranges. I was wondering whether you can maybe give us a sense of what the SKU reduction might look like? And what areas you'd like to really concentrate the range, please?
Thierry Garnier: Yes. Thank you, Warwick. I think on the rightsizing, and you take the example of 30% of sales square meter, I think, is a good -- probably a good average for us. I would say we should be between 0% and 30%. It means we should have less -- clearly less sales impact than square meters. You still have a bit of impact. You cannot reduce your square meter and have absolutely no impact of sales. So according to our experience, we have some impact, but much less than the reduction of sales. So that's clearly the kind of KPI we will build over time. What is impacting your sales, what is the cost reduction you are able to do, what is the impact of margin, what is the contribution of the partner you are bringing in or what you are doing with the square meter. We are still there in the test and learn mode. We consider it's a very important topic. We have some time to answer it. So we are running consistently tests in 2021 and in the coming years. And we were ready to set up clear KPIs and understanding so that we will come back with a more longer-term plan on rightsizing. Brico Dépôt, to start with the range, we -- in the past years, the number of SKUs were probably 5 years ago at 12,500 SKU and gradually moved up to 17,000 SKU. So without coming back to 12,500, we consider we should decrease a bit our ranges. I give you a small example, for example, the -- all the screws categories in the past, we had probably 30% to 40% less than the SKU than today. But the presentation was in bulk with very large conditioning, totally different to the one you can see today in the store. And we lost probably 20% to 30% of sales in this category because of the change of the range. We really moved from a discounter to a kind of general DIY offer, and that was not right for Brico Dépôt. So we have a very expert team in Brico Dépôt. They exactly know what they want to do category by category. Typically, for schools, we are coming back to very different ranges, very different presentation. But you understand, we need some time to move from this DIY offer to discount offer. Probably, we need 12 to 18 months in addition to today to be really fully where we want to be with Brico. And the other area on the range, I would comment on Brico, is our private label, our OEB. We have today exactly the same OEB between Casto and Brico. And for some categories, it's not relevant, and we will adjust, we will tell our OEB offer to make sure we can differentiate more between Brico and Casto and as well on prices.
Bernard Bot: And Warwick, Bernard here. Maybe just to frame a little bit the rightsizing discussion and maybe I'm repeating things you know, but it is really -- it applies to B&Q and Casto. It's much less of an issue in the other banners. And if you look at B&Q, they're 300 stores, it's about 1/3 of those that have big boxes. And then admittedly, Casto, it's -- they have 93 stores, and the majority are. But within those, most of the B&Q and Casto stores are well located, have good sales densities and are profitable. So it's really -- it affects those stores where that doesn't apply, and that's where we're testing and looking what works best over the next couple of years and then take those earnings and gradually invest in the right-sizing program.
Operator: We'll take our next question from Anne Critchlow of Societe Generale.
Anne Critchlow: I've got 2 questions, please, on exclusive brands. First of all, where would you like to see that get to in terms of percentage of sales? What might be the ideal level? And then secondly, what's the gross margin differential between an exclusive brand and third-party brands? I mean, for example, is it, say, 5 percentage points more than that?
Thierry Garnier: Yes. Thank you, Anne. Today, we have reached 44% of the group sales through OEB, and that's pretty impressive. And I must admit that not only the job done in 2020, but all the past years by building, sourcing offices, designer, engineers, across the group. That's really a group, what we call it group power to be able to produce OEB. We have clear and ambitious plan. I would not give you precise target today, but we consider we can continue to grow from 44%. We'll not grow to 100%. They are very strong brands, very strong vendors and we need as well to have choice and open our ranges to many vendors. But we continue -- we can -- we consider we can still grow from 44%. As you mentioned, the margin of OEB category by category is above the average of our business. So we have a clear margin contribution from OEB. That's why our plan by growing OEB as well, not only to push ourselves to provide differentiation but as well to provide more margin. But I can't give you any figures from now.
Operator: [Operator Instructions] We'll take our next question from James Grzinic of Jefferies.
James Grzinic: Yes. Just 2 quick ones. I guess, firstly, coming back to Simon's question, Thierry, are you basically saying that once you have concluded that piece of work on those French ranges and you're fully happy with those, the key driver to grow profits ahead of sales is in place. Is that how we should be thinking about it? And secondly, in terms of Screwfix International, is the time line moving from purely online to multichannel, the sort of the 2-year gap that we saw in Ireland, should we be thinking about that in terms of you opening stores, I presume, in Poland, France and Iberia?
Thierry Garnier: Thank you, James. I would say just to clarify the French point. I would say, firstly, we need to be happy with the top line, and the 12 to 18 months is really around rebuilding ranges. In our plan, we say we want first to repair, and we consider on range, it's not repaired yet. But I will not commit today that the 12 to 18 months is my commitment to grow the profit margin in France. I want to make sure the top line is where we want to be before we start to drive strongly higher profit margin. On Screwfix, first, I didn't mention any specific countries. I mentioned the countries where we have the existing operation from Kingfisher. Again, we want to establish a brand. We want to make sure the range we are starting with online. The reaction to customer is good and well understood. And as soon as we have that, then we'll consider to -- would consider physical operations.
Operator: We'll take our next question from Kate Calvert of Investec.
Kate Calvert: A couple from me. First, just going back to the rightsizing program. Can you give an idea of the number of stores of that sort of third big boxes in B&Q that you think you could rightsize? And then the other thing, could you give a bit more detail of the online operations within the 56 B&Q. I mean, how much has it impacted the existing sales area of those stores? And then the final question is on France gross margin. Obviously, it was down 120 bps. How much of that do you think might be able to get back in the current year FY '22?
Thierry Garnier: Yes. Thank you, Kate. Rightsizing, let me step back a minute to give you the global picture. We do not feel we have a kind of rightsize issue everywhere across the group. Again, if I take one by one, obviously, Screwfix, small stores, Brico Dépôt, we are more around 6,000 to 7,000 square meters. Poland is not a problem either. And Romania, Iberia, again, are more around 6,000 to 8,000 square meter stores. So the question is really very much about Castorama and B&Q. And if you look at B&Q, for example, we have a large part of B&Q estate that I would qualify as medium box. That are 4,000 to 6,000 square meter stores. And today, they are performing extremely well. Sales density, profit, the supply chain to support those medium box stores of B&Q are all very strong and very good. And we'll open more medium boxes looking forward. Now when you look at the larger B&Q big box, again, you have very, very strong and successful ones. We're not far from London if you go to new model, it's a very big stores, very successful, very profitable. And there is no -- I would say, not much job to do on this one to reduce the size. So it's part of the estate. It's exactly the job we are doing with our test and learn. We want to do more tests to learn more in the coming probably 2 years' time, to set up a clearer and stronger longer-term plan on rightsizing at B&Q and Casto France. And it's a bit early to come with a detailed and strong plan with a number of store CapEx and results. We discussed a few minutes ago what are the impact, what is impact on sales when you reduce 30% square meter, what is impact on margin and cost. We gave you some indication on Canterbury that are very encouraging. So depending on those test and learn, we'll be able to come back to you with clearer numbers later on. I think your question on hubs and dark store, very interesting, very, very important for us. The 56 hubs are stores that have been chosen for 2 reasons because of their location. So because we wanted to cover large part of the U.K., and we today cover 98% of the U.K. population. But at the same time, that are large ranges and that are -- some are surface space available to run the kind of dark store without reducing the store area. So today, it's really store where we have large warehouses, and we build small dark stores, small warehouses inside their existing operation. And therefore, being able to capture probably regularly over 1,000 order or 1,500 orders a day, which is pretty good for store operations. At last for France, maybe I will let Bernard comment further on the margin question.
Bernard Bot: Thank you, Kate. Thank you, Thierry. I mean, the answer, again, as Thierry said, is the key focus is really on building the top line and growing the top line. And then over time, with that, build a rough margin, maybe a little bit less of a focus on the gross margin. So if you look at the -- what the gross margin did over the year, minus 120 basis points, would be driven by more trading events in both banners, more arrivage, but also some higher supply and logistics cost. And I think those trading events in arrivage have done as well in terms of our market performance growing ahead of the market at Castorama and good growth in Brico. So that is important for us. So once that momentum gets going, we believe we can get more leverage and grow the rough margin. And what will also continue or contribute to that is the focus on operating costs and the savings initiatives that we're pursuing.  So in that combination, strong top line growth, and then over time, build a rough margin. And then the only piece I would say that is potentially more temporary, is the higher supply and logistics cost where we had more one-off-ish type impact on some of the strikes at the beginning of the year, and then we had some COVID-related costs during the year and those will not recur.
Operator: We'll take our next question from Tony Shiret of Panmure Gordon.
Tony Shiret: Just some simple ones to kick off with. First of all, you alluded to the reduction in Castorama's range under ONE Kingfisher. So bearing in mind your comments about taking some time to get the range sorted in France, what was the actual SKU count when you arrived in Castorama? And what is the SKU count going to be in 2 years' time? And secondly, why -- or when is NeedHelp going to open in France? So that's second question. Third question, sorry, to labor. The online ranges, could you tell us what the SKU count is in the online ranges in the U.K. and France?  And whether there are any online exclusives, i.e., are you trying to use online to widen the range or just to fulfill people's orders who want to order online rather than come in store?
Thierry Garnier: Thank you, Tony. So on Casto, the figures we saw and we mentioned in the previous months, we lost about 20% of the SKU between 2016 and 2019. At that point, Casto ranges was about 55,000 SKU. So therefore, you can see where we have to go. But again, I could say, I'm pretty happy with the progress of the past months, and we are moving fast. And I'm very comfortable when I say 12 to 18 months, that we'll be back to where we want to. And it's not only just adding a few SKUs, sometimes it's change of layout. It's more complicated, just adding a few SKU on the shelf. So I'm very happy with the job done by the team. We are moving very fast on this area. NeedHelp. NeedHelp we are already in France. We are partnering with NeedHelp for a few years. We started with NeedHelp, and we are broadening our partnership in France on more services. We are pushing communication campaigns on our website. The big thing for us this year is to start NeedHelp in the U.K. and in Poland. To give you the additional information, we've just been starting some testing in B&Q for a few weeks in 1 or 2 regions of B&Q. So it's just early, again, test. But the big story for us is as well to start in the U.K. and in Poland. Online today, the range is firstly focus on store. I would put Screwfix aside. Or if I look at B&Q, is ready to deliver the full storage on click & collect and home delivery from store. We have a few exclusive range online that are delivered directly by vendors. But they are relatively small number of SKUs. At Screwfix, the model is slightly different because we have a very large central warehouse in Trenton, where we have about 25,000, 30,000 SKUs that are not in stores. In Screwfix, you have 11,000 SKU. And in addition to that, you have 25,000 to 30,000 SKU in this central warehouse in order to deliver all our customers. That's for the online range. And again, our first focus is around speed, so fast click & collect and fast home delivery from store operation at the moment.
Operator: We'll take our next question from Lorenzo Margiotta of Bank of America.
Lorenzo Margiotta: Well done on the results. Just a simple one. In the financial priorities, you're talking about top line growth ahead of the market. Could you maybe just give us an idea of what you see as the sort of midterm growth in your markets, maybe by B&Q, Screwfix in France, if we sort of set aside forward maybe from 2022 onward or whatever, how you think about the growth?
Thierry Garnier: Lorenzo, thank you for your comment. On your question, let me start, and I will as well ask Bernard to compete. I think 1 key thing, we are -- again, we are very interesting with this to see new supportive trends. And again, we try to take it very coldly. I think the first one is around more working from home. We see, clearly, in the future, people working a bit more from home. I don't know if it's 10%, 5%, 15% or 20%. But this will have a material impact on many businesses, including on our business. It will be more wear and tear, people reorganizing their space. And I think the second big trend is the new DIY'er we saw during the lockdown. We all see people doing more cooking at home, and we saw a lot of people doing more DIY. And when we try, when you learn new skills, usually, part of it is staying, and we believe part of it will stay with us. So we could have ups and downs in the short term. But in the medium term, we are -- we feel they are new supportive trends. Maybe, Bernard, if you want to add.
Bernard Bot: Lorenzo, if you look at some of the more structural drivers, there's obviously population growth. There's an aging housing stock. On average, they're 50- to 60-year-old in the markets that we are. We're also seeing an increase in the housing starts and all that is supportive. If we then do some statistics, if we look at the period 2009, 2019, what we've seen is that the home improvement growth is larger growth ahead of the consumer expenditure in most markets. So that's the -- let's say, the structural drivers. And then, I would say, adding up some very supportive trends that we see, which may accelerate that.
Operator: We'll now take a follow-up question from Richard Chamberlain of RBC.
Richard Chamberlain: I wonder if I could just ask a follow-up, Thierry. Just a quick 1 on going back to the French EBIT margin. Appreciate that you've said repeatedly that the focus is going to be on top line, et cetera, at least short term. But I wondered if you can just give us a sense of the current sort of spread in margin between Castorama and Brico Dépôt and any sort of sense whether you'd expect that gap to close over time? And then my sense is probably the biggest opportunities is on the Castorama side. But any more color on that would be very helpful.
Thierry Garnier: Yes, Richard, you're right to say, and again, we have been very clear in the past that the French businesses are made of 2 very different animals. We have Brico Dépôt, again, discounter, higher sales density, higher profit margin. And Castorama with indeed a lower profit margin but Castorama is profitable. So in my view, again, you have two different story. I think Brico at this level should really focus on top line growth. Brico's plan is around constant cost improvement, constant work on the cost base in order to reinvest part of it on its top line to continue to have, as today, a very strong price index and even to improve it. Why we have more opportunity at Casto? You're right to say that we have much more opportunity at Casto. Sincerely, it's difficult for us to give more granularity and detail at this point. But Casto is profitable. And we are seeing much more opportunities as soon as we are clear about the top line. Because in retail, we have seen so many mistakes where with the wrong price positioning, with the wrong time on price -- on cost cutting, the wrong focus, you need first to make sure you have the customer with you, you are recruiting customer, you have the traffic back and then you can do many things on the profit part. But we need a bit more time to answer that.
Operator: We'll now take our next question from Paul Rossington of HSBC.
Paul Rossington: Can you hear me?
Thierry Garnier: Yes, very well.
Paul Rossington: Well done on the numbers today, gentlemen. One question from me, please. One presumes that against the increase in demand driven by COVID-19, you've seen a reduction in markdown activity in your key markets? And I'm just -- if you could confirm that's the case or not, that would be great. And also, I'm just wondering what you think is going to happen to markdown activity or promotional intensity once we get out of COVID-19, whether that's this year or next year?
Thierry Garnier: Yes. Thank you, Paul. Again, a few answers and probably Bernard will give you additional figure. Let's start 2 things. First, on the clearance and markdown. A few years ago, I think during the peak of the ONE Kingfisher time, we went up to 75 large range reviews per year. And we saw it was too much, too much disruption in store, probably even the quality of the job. We were just unable to manage so many range reviews at the same time across multiple countries. And therefore, we ended up with sales impact and a large amount of clearance and markdown. So since last year, we consider with my management team that 45 to 55 range reviews per year is the right number. We need range reviews. It's a way to bring innovation and refresh our ranges, but we need to make it in an organized way, and that's where we are for 2020 and this is our target for 2021. So because first of this reduction of the number of range reviews and plus the fact that we are making them more efficiently we saw in 2020, and that's our expectation looking forward, a bit less clearance and markdown costs. Just 1 caveat is in 2020 and early 2021, we are rolling out our new kitchen range. That's probably the most expensive of the markdown because this is the heaviest changes, you need to change large part of the store to rebuild the showroom, to clean the previous ranges. So still 2020 and 2021 has been impacted by kitchen clearance. Maybe, Bernard, you want to add on this one?
Bernard Bot: Yes. Paul, maybe to add a few things. I mean, if you go back to this year, you'll see it's a mix. So we had higher full price sales and lower clearance in B&Q, but then in some of the other banners, as we just highlighted for France, we did do more trading events. We had more arrivage in support. So it really depends on the specifics and the specific market environment. And also while in some instances that may be a plus, the counter of being in a COVID environment is the supply and logistics costs and some additional costs you have because of that some of which also impacts the margin. So there -- as always, in the margin, there are puts and takes.
Paul Rossington: Can I just follow up with one? Have you seen any increase in promotional activity from Leroy Merlin? Or would you expect it?
Thierry Garnier: Well, I would say I put aside lockdown period because during lockdown period, as Bernard mentioned for some time, we have been just concerning advertising campaign because we just felt it was not right. So outside those periods, we see, I would say, rather stability. We have a very good competitor. They are doing their job, and they are as well pushing a lot of promotion advertising, but we'd rather see a stable situation. We don't see a rise or a decrease of the promotional activities outside lockdown times.
Operator: And there are no further questions at this time. I'd like to hand the call back to you.
Thierry Garnier: Thank you. Thank you very much. So thank you, everyone. It was really a pleasure for Bernard and I to be with you to share those results, to share our strategic views and as well to exchange and answer your question. Thank you for all your questions. We are really looking forward to getting together as soon as we can and when the time is right. So thank you for today and for your support and questions, and talk to you soon. Take care. Bye-bye.